Executives: Gregory A. Waller - Vice President of Investor Relations & Strategic Analysis Donald R. Lindsay - Chief Executive Officer, President, Director and Member of Executive Committee Ronald A. Millos - Chief Financial Officer and Senior Vice President of Finance Dale E. Andres - Senior Vice President of Copper Robert G. Scott - Senior Vice President of Zinc Andrew A. Stonkus - Vice President of Base Metals Marketing John F. Gingell - Vice President and Controller Timothy C. Watson - Senior Vice President of Project Development Réal Foley - Vice President of Coal Marketing Ian C. Kilgour - Chief Operating Officer and Executive Vice President
Analysts: Sohail Tharani - Goldman Sachs Group Inc., Research Division Jorge M. Beristain - Deutsche Bank AG, Research Division Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division Mitesh Thakkar - FBR Capital Markets & Co., Research Division Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division David Charles - Dundee Capital Markets Inc., Research Division Lucas Pipes - Brean Capital LLC, Research Division Greg Barnes - TD Securities Equity Research Oscar Cabrera - BofA Merrill Lynch, Research Division Ralph M. Profiti - Crédit Suisse AG, Research Division Alec Kodatsky - CIBC World Markets Inc., Research Division Paretosh Misra - Morgan Stanley, Research Division Harry Mateer - Barclays Capital, Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to Teck's Third Quarter 2014 Conference Call. [Operator Instructions] I would now like to turn the meeting over to Greg Waller, Vice President, Investor Relations and Strategic Analysis. Please go ahead, sir.
Gregory A. Waller: Thanks very much, operator, and good morning, everyone, and thanks for joining us this morning for Teck's Third Quarter 2014 Investor Conference Call. Before we start, I'd like to draw your attention to the forward-looking information on Slide 2. This presentation contains forward-looking statements regarding our business. However, various risks and uncertainties may cause actual results to vary. Teck does not assume the obligation to update any forward-looking statements. And at this point, I'd like to turn the call over to Don Lindsay, our President and CEO.
Donald R. Lindsay: Thank you, Greg, and good morning, everyone. I will begin with a brief overview, followed by highlights from our third quarter results, then Ron Millos, our Chief Financial Officer, will provide additional color on the quarter from a financial perspective, and we will conclude with a Q&A session, where Ron, myself and additional members of our senior management team would be happy to address any questions that you may have. So starting with overview on Slide 3. We are continuing to execute well in difficult market conditions. Profits and cash flow continue to be affected by Steelmaking Coal prices as oversupply is keeping them at unsustainable levels. We've updated our 2014 guidance ranges this quarter to reflect our progress year-to-date. We have raised our guidance for zinc mine production again due to good results at Red Dog, and we have tightened up our guidance ranges for both coal and copper production towards the upper end of the original ranges. And we've also lowered the ranges for coal and copper costs, reflecting our cost reduction program. And again we've also reduced planned CapEx expenditures for 2014 by approximately $375 million. Our focus on cost reduction is continuing to deliver results, and in total, we have now realized $590 million of sustainable annualized operating cost reduction since our cost management program was implemented in the second half of 2012. Teck is in a solid financial position. And I want to repeat that, we are in a solid financial position to navigate current market conditions and a period of higher capital spending through 2017 as we invest in building a significant long-term asset in Fort Hills. We have approximately $5 billion of liquidity, including a current cash balance of about $2 billion as of October 28 and an unused revolving credit facility of USD 3 billion and no substantial debt due over the next 3 years. So turning to Slide 4, in operational highlights from our third quarter. Our operations are performing well. Coal production increased in the quarter, with record quarterly and year-to-date production at both Elkview and Greenhills. On a year-to-date basis, coal production is up 1 million tonnes, reflecting good market demand for our Steelmaking Coal products. Zinc mine production is also up due to an increase in mill throughput at Red Dog. Our operations are continuing to achieve significant cost reductions even while increasing throughput at 10 over 13 operations on a year-to-date basis. We lowered total operating costs and unit costs in our copper and zinc business units, and Ron will speak to our cost reductions issues later in the call. So looking at Slide 5. Profitability for the quarter was down overall, driven by significantly lower coal prices compared with the same period last year. Despite these prices, all 6 of our coal mines are operating with positive cash margins. Total gross profit before depreciation and amortization was $750 million compared with $919 million in the same quarter last year. EBITDA was $651 million in the quarter and approximately $1.8 billion on a year-to-date. Our profit attributable to shareholders was $84 million or $0.14 per share in the quarter. However, we are benefiting from improving zinc market fundamentals and higher zinc prices with gross profit before depreciation and amortization in our zinc business up by 48% to $270 million. As you can see from the bottom chart, there are several adjustments that we made to calculate adjusted profit. The largest item is a one-time noncash charge of $64 million related to new Chilean tax legislation, which was enacted into law in late September. Including all of the items in the quarter, adjusted profit was $159 million or $0.28 per share compared with $252 million or $0.44 per share in the same period last year. In addition, the Canadian to U.S. dollar exchange rate has a moved in our favor, with a significant impact on a year-to-date basis. Our sales, of course, were dominated in U.S. dollars, while the majority of our operating costs are incurred in Canadian dollars. And to a lesser extent, a stronger U.S. dollar puts upward pressure on a portion of our operating expenses and our capital expenditures. Overall, each $0.01 change in the exchange rate affects our EBITDA by approximately $60 million on an annualized basis. I'll now review our results by business unit, starting with Steelmaking Coal on Slide 6. Coal sales were higher than guidance in the quarter at 6.7 million tonnes, but down from the record sales that we had in the third quarter last year. This is the second highest quarterly coal sales that we've achieved for this period. However, oversupply conditions in the market continued to impact coal prices. And while prices remain at similar levels to Q2, they declined significantly when compared with the same period last year. Our average realized price declined 21% on a U.S. dollar basis to USD 110 per tonne and 17% on a Canadian dollars basis to CAD 119 per tonne. So overall, our revenue declined by 27% to $798 million. Coal production increased in the quarter, with record quarterly and year-to-date production, as I mentioned, at both Elkview and Greenhills. I also had mentioned earlier, on a year-to-date basis, coal production is 1 million tonnes higher than the same period last year. The last of our annual plant maintenance shutdowns was completed in Q3, and for the full year, we now expect production to be in the range of 26.5 million to 27 million tonnes. Our cost reduction efforts are producing significant results, but price increases for key inputs continue to put pressure on cost as well. For the full year, we now expect site cost to be in the range of $52 to $55 per tonne and transportation cost to be in the range of $37 to $39 per tonne, which moves the midpoint of the ranges lower than they were before. Overall, gross profit before depreciation and amortization declined by $230 million to $187 million. Now looking at coal markets on Slide 7. There continues to be too much Steelmaking Coal on the market. By our count, approximately 25 million tonnes of cutbacks and closures have been announced since the start of the year, but there has been a lag between announcement and implementation. And even when they are fully implemented through the first half of 2015, this will be insufficient to bring the market back into balance. With the additional production coming on in Australia and elsewhere, we expect the market in balance to still be in the 10 to 15 million tonne range. However, the margin curve shows that around 1/3 of seaborne met coal is being produced at a negative cash margin, and the amount of negative margin production indicates that further cuts are warranted and getting the market back into balance is dependent on additional production cuts. Given how much production is currently at negative margin, we think there's a good likelihood that this will happen. There is potential for the coal market to be back in balance as early as mid-2015 if further cuts are announced and implemented. Teck is well-positioned on the margin curve, as indicated on this chart. And looking forward to Q4, we have reached agreements with our customers to sell 6.3 million tonnes of coal in the quarter based on USD 119 per tonne for the highest quality products. We expect our coal sales to be at or above 6.5 million tonnes resulting in full year sales of approximately $26.2 million. I'll now review our base metals business, starting with copper on Slide 8. Sales and production were down -- were each down 13,000 tonnes. Our average realized copper price was slightly lower in U.S. dollar terms and revenue declined at 12% to $628 million. The decline in production was primarily due to the mine plant in Antamina shifting to a lower grade zone and a lower amount of copper on the ore. It was also impacted by an unexpected mill downtime at Carmen de Andacollo in September due to a failure of key electrical equipment, which has been repaired. The mill has operated at full production rate since the end of September. Now this was partially offset by higher production in Highland Valley, primarily due to increased throughput following the commissioning of the mill optimization program. Mill throughput averaged 139,000 tonnes per day in Q3 compared with design capacity of 130,000 tonnes. And we now expect our full year copper production to be in the range of 330,000 to 340,000 tonnes. Our cost reduction efforts have been successful in copper. Total cash unit cost before byproduct margins are down about 5% compared with last year, primarily due to our cost reduction efforts. We're lowering our full year guidance for copper cash and unit costs, net of byproduct margins, to between USD 1.60 and USD 1.70 per pound. Overall, gross profit before depreciation and amortization declined by $26 million to $292 million in our copper business. Turning to our zinc business unit on Slide 9. I should first note that Antamina and Duck Pond zinc related results are reported in our copper business unit as zinc is considered to be a byproduct of both operations. So significant improvements in zinc fundamentals and pricing are reflected in the profitability of our zinc business unit. Gross profit before depreciation and amortization increased 48% to $270 million. Zinc mine production is up 6,000 tonnes as processing of softer ore has allowed for an increase in mill throughput at Red Dog. The shifting season was completed on October 20, with 1,025,000 tonnes of zinc concentrate and 205,000 tonnes of lead concentrate shift this year. Given the strong production performance at Red Dog year-to-date, we are increasing our full year guidance range for zinc and concentrate production for the second time this year to between 615,000 and 630,000 tonnes. We also expect the first ore from Pend Oreille in December with the capacity to produce 44,000 tonnes annually coming on. Development work is progressing very well, and it's on schedule and on budget. Refined zinc production was impacted in Q3 by a shift in the timing of Trail's annual maintenance shutdown of the zinc feed roasters, which occurred in Q2 last year. We now expect refined zinc production to be between 275,000 and 280,000 tonnes for the full year as production in the first half of the year was affected by the aging asset plant prior to its replacement in June. Now looking at base metals market on Slide 10. Tight market conditions and concerns over the ownership of certain warehouse metals in China led to LME copper prices declining over mid-July -- declining after mid-July. At the same time, LME inventories have fallen by around 57% or 209,000 tonnes at year-to-date. For the full year, the International Copper Study Group forecast a deficit of 307,000 tonnes for the year. LME zinc prices are now well above last year's levels, as you can see, reflecting improved fundamentals. Mine closures continue through this year and into 2015, which is expected to move the global zinc market further into deficit. LME zinc stocks are down approximately 210,000 tonnes or 23% on a year-to-date basis. The international lead and zinc study group forecast a deficit of 403,000 tonnes this year and 366,000 tonnes next year. LME lead prices were down in the quarter, and LME lead stocks are up around 11,000 tonnes or 5% year-to-date. The global lead market has been expected to move into deficit from 2014 onwards. The international lead zinc study group forecast a deficit of 38,000 tonnes this year and 23,000 tonnes next year. Turning to Slide 11, and a quick update on Fort Hills. The project remains on schedule and on budget. The project is achieving and tracking to key milestones, engineering is now over 50% complete. A number of the major engineering, procurement and construction contracts have been signed with cost substantially within expectations. Construction is progressing per plan. Manpower is now around 3,000 strong, and will continue to ramp up to a peak in 2016, and first oil is still expected in Q4 of 2017. During the quarter, over $4.5 billion in major contracts were awarded. The single largest was for the secondary extraction component at $2.6 billion to SK Engineering in Korea. Fluor was awarded the $1.5 billion utilities contract and a $244 million cogeneration plants contract was also awarded. So these contracts have all been awarded in line with budget and indicative of the project tracking to overall budget. On a year-to-date basis, our share of cash expenditures was $421 million, and note, if cash expenditures tend to lag incurred cost in the initial phase of construction and then they catch up after completion of the project. So we now expect Teck's share of incurred cost for the full year to be $800 million, including our remaining earn in. Following construction, Fort Hills will be a significant long-term asset, and we will benefit from 50 years of strong stable cash flow. So I'll now turn it over to Ron Millos, our CFO, to provide additional color in the quarter from a financial perspective.
Ronald A. Millos: Thanks, Don. I've summarized our changes in cash for the quarter on Slide 12. Our cash flow from operations is $429 million in the quarter. We spent $343 million on capital projects, half of which was for Fort Hills, and capitalized stripping cost were an additional $145 million. We paid $156 million in interest payments and $16 million in principle on our debt, and the payment of our semiannual dividend used $259 million of cash in July. After these items, distributions to noncontrolling interest, foreign exchange translation and other changes in working capital, we ended the quarter with cash and short-term investments of approximately $1.9 billion. Including our unused USD 3 billion revolving line of credit, matures in 2019, we currently have over $5 billion of additional liquidity. In addition, our USD 6 billion debt shelf prospectus expired in August, and as noted in our news release, we renewed it this month. And this qualifies us to issue debt securities for sale in Canada and the U.S. over the next 25 months, which enable us to access the debt markets if and when deemed appropriate. Looking at Slide 13. We are committed to our investment grade credit rating. Our targets are consistent with maintaining our currently rating of mid-BBB. We think this is the right rating for Teck, as it leaves a cushion in the event of a general industry downgrade or some other event beyond our control. These are long-term targets, and we expect our ratios to vary from target from time-to-time, reflecting commodity prices cycles and corporate activities such as development of major projects like Fort Hills. There are no financial covenants in our public debt indenture and just one financial covenant in our bank credit agreement, which requires us to maintain a debt-to-debt plus equity ratio below 50%. As of the end of Q3, we were at 30%, and we were at 29% on a rolling 3-year basis, consistent with our target and current credit rating. Of course, the rating agencies asses Teck base on a number of qualitative and quantitative factors, including their own forecast for commodity prices for the next few years. However, these ratios are guidelines, not hard and fast rules, and only one part of their decision-making process. The agencies understand the cyclical nature of the mining industry, and are aware of our capital spending plan and our strong liquidity position of $5 billion. Moving on to Slide 14. I'd summarize our pricing adjustments for the third quarter. Lower copper prices resulted in $28 million of negative pricing adjustments this quarter compared with positive pricing adjustments of $24 million in the same period last year. Copper was down $0.11 and zinc was up $0.04 compared with Q2. These adjustments are included in our income statement under Other Operating Income and Expense. As a reminder, refining and treatment charges in the Canadian-U.S. dollar exchange rate should be considered in your analysis of the impact of price changes in the adjustment. You should also consider taxes and royalties when analyzing the impact on net earnings. The chart on the right represents a simplified relationship between the change in copper and zinc prices in the reporting settlement adjustments, and provides you with a good estimate of our pricing adjustments each quarter. Turning to Slide 15. Our cost reduction program continues to deliver results. We've realized lower total operating and lower unit cost in both our copper and zinc business units this quarter. Overall, we've exceeded our target to realize $200 million of additional annualized operating cost reductions this year. This includes workforce reductions and significant cost reductions in all areas, including corporate business units to reduce staffing levels, travel and lower discretionary spending. In addition, we've successfully transferred the Quintette coal restart project to care and maintenance. The progress year-to-date has enabled us to decrease our full year cost guidance ranges for both coal and copper that Don spoke to earlier. We have realized a total of $590 million of sustainable annualized operating cost reductions since our cost management program was implemented in the second half of 2012. However, there are offsetting factors, such as lower grades, increased waste haul distances, contractual labor rate increases, higher fuel prices, although the recent drop in oil prices will start to minimize our fuel bills if they stay in place for some time. On a year-to-date basis, we have reduced our -- or maintained our unit costs at similar levels to last year, while increasing throughput at 10 of our 13 operations. We've also reduce our planned capital expenditures for 2014 by approximately $375 million since the start of the year, down to approximately $1.5 billion, plus the capitalized stripping, which we still expect to be around $700 million. This includes our commitment to Fort Hills and our Pend Oreille restart. Timing of expenditures at Fort Hills represents approximately $225 million of the reduction with the balance due to our cost reduction program. The table on Page 22 of our news release provides more detail on our capital spending by each of our business units. Looking at the summary of the updates to our full year guidance on Slide 16. As Don mentioned, we've tightened up our guidance ranges, reflecting our performance on a year-to-date basis. In coal and copper, the midpoints of our production guidance are now higher than our original guidance, and the midpoints of our cost guidance items are now lower. In particular, we have lowered our copper cash unit cost guidance range to USD 160 to USD 170 per pound compared with our original guidance of USD 170 to USD 190 per pound. In zinc, we've increased our zinc mine production guidance range for the second time this year, given Red Dog's increased mill throughput. The midpoint of our zinc mine production guidance is now significantly higher, and we expect 615,000 to 630,000 pounds of zinc and concentrate for the full year compared with our original guidance of 555,000 to 580,000 tonnes. We've also lowered our refined zinc production guidance range 275,000 to 280,000 tonnes due to the impact of Trail's aging asset plant on production prior to its replacement in June earlier this year. And with that, I'll turn it back over to Don for some closing comments.
Donald R. Lindsay: Okay. Thanks, Ron. And looking at Slide 17, on a summary of our near-term priorities. We are continuing our focus on cost management programs, we are reducing our capital spending for 2014 and we're executing the restart of the Pend Oreille zinc mine to benefit from improving zinc fundamentals. And with that, we'd be happy to answer your questions. And please note that some of our management team members are on the line in different locations, so there may well be a pause after you ask your question as we sort out who's going to an answer from where. Okay, over to you, operator.
Operator: [Operator Instructions] Our first question is from Sal Tharani from Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: I wanted to ask you 2 things. One is there has been some recent news about a possible strike at Antamina. You haven't mentioned it in the prepared remarks. Any color on that?
Donald R. Lindsay: I'll turn that one over to Dale Andres, Senior Vice President, Copper.
Dale E. Andres: Thanks. Antamina did receive some noise from the union yesterday about a potential strike on November 10. I do want to reiterate, our mining operations are currently operating normally. And the concern raised by the union is really around worker profit sharing, and our profits are down at Antamina this year due to the lower grades. And that's the concern raised by the union. I just want to also reiterate that worker payments are governed by the law and established agreements. And the strike, if it were to happen, would be illegal.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. Great. Next thing, on zinc. Don, you mentioned that the zinc -- you increased your zinc forecast a couple of times this year. And you mentioned about that the efficiency at the Red Dog has been repaired, and I was wondering if is the market demand also requiring you to do that? Or is this really a function of Red Dog in doing better than we already expected that you raised the guidance a couple of times this year?
Donald R. Lindsay: Well, I think it's a 2-part answer to, I guess, your 2-part question. So the first, and I can turn it over to Rob Scott to give you a bit more detail, but the increased production at Red Dog is due, as we said, to softer ore, allowing increased throughput through the mill. But in terms of demand, which is the first part of your question, we've seen strong demand, particularly strong demand in China, and the market is forecast to be about a 400,000 tonne deficit. And Andrew Stonkus is here from our marketing side. So Rob Scott, anything you want to add on Red Dog, and then Andrew, on the market?
Robert G. Scott: Thanks, Don. That's quite correct on our Red Dog situation, the ore is softer than we expected this year. And so largely a function of more ferrite in the ore, which is a softer kind of [ph] material than silica. The [indiscernible] deposit, as you might recall, the Aqqaluk deposit we started mining perhaps a little over 3 years ago. And so the experience with Aqqaluk is [indiscernible] in the last 3 years and there is more ferrite and nickel in the deposit. So the cost of burning ore is and I don't expect it to [indiscernible] to us, that's what counts for the additional zinc production for Red Dog this year.
Donald R. Lindsay: Andrew, you want to comment on the market?
Andrew A. Stonkus: Yes. On the market [indiscernible], there's no question the international [indiscernible] has put out their forecast [indiscernible] as Don mentioned just over 400,000 tonne metal deficit for this year and close to 400,000 deficit for next year forecast. [indiscernible] I think you remember, as we're still going to pay some significant mine closures coming up. I think we're all aware of the additional mine closures we're seeing. So the demand for concentrate is strong. The spot market for concentrate is very active, very strong. Chinese metal imports are up 9% through the end of September. So demand for metal is strong and growing, and supply concentrate is going to be constrained as we see these mine closures continuing to evolve. So demand overall, concentrates of metal is going to be very robust.
Operator: Our next question is from Jorge Beristain for Deutsche Bank.
Jorge M. Beristain - Deutsche Bank AG, Research Division: Jorge with DB. Just my question was really related to the recent tax code changes in Chile and we saw the pretty significant jump quarter-on-quarter. Could you give us some guidance as to, at the end of the day, how much the Chilean tax changes affect your overall corporate tax rate? Is this is an issue of a bump up of 1, 2 or 5 percentage points on a corporate-wide basis?
Donald R. Lindsay: Over to Ron Millos.
Ronald A. Millos: Sure. The effective rate in Chile will now be 35%, Jorge. And it will be 28% taxed in Chile. And then 7%, if we bring money out of Chile back to Canada or another location. So that shouldn't change, maybe push the overall effective tax rate up by 1% at best. But again, that depends on where the profits come from down the road.
Jorge M. Beristain - Deutsche Bank AG, Research Division: Great. And maybe as well, if you could comment a little bit on the sensitivity to the copper projects down there and your current mines. Does this higher tax rate impact some of the economics for your projects that are still to be built in any of your ongoing operations? In other words, would there be any kind of further write-down to be expected maybe in the fourth quarter?
Donald R. Lindsay: I think we'll go to John Gingell for the last part of that. And then the first part, either Dale or Tim. Dale for current operations, and Tim for projects. There's about 3 parts to that questions so John, why don't you start and we'll work backwards, if that's okay.
John F. Gingell: Okay. So the increase in the first stage taxes, which is the thing that affects your economics primarily, does have a negative effect on some aspects of our mines. However, we have in our impairment views in the third quarter of all of our projects in Chile, and we are not taking any write-downs. We are -- we have some room there. And so I wouldn't expect anything. Things can always change, and so we will continue to monitor these things. But based on current conditions, there won't be any write-downs.
Dale E. Andres: Just a quick comment on operations. As a result of the tax change, we don't anticipate any change to our long-term mining costs.
Timothy C. Watson: Sorry, with respect to the capital projects, QB2 in particular, certainly, our -- we have updated the model for the new tax regime, and we certainly still see it as a very positive project going forward.
Donald R. Lindsay: Yes. I might also add just another bit of color. Well, we've done -- all the numbers are very conservative assumptions for our others and the rest of it, if I look out at what's actually happening in the market in terms of transactions and the recent sales of copper assets, they've gone for some pretty good values. So we always have that as a market handy check that indicates we've got some very valuable assets.
Operator: Our next question is from Curt Woodworth from Nomura.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: Don, I just wanted to follow-up on the comments on the coking coal market in terms of potential balance by middle of '15. I just wanted to know how you guys are thinking about kind of aggregate seaborne trade flows into China? Because if you look at the coke export number and the steel export number this year on a met coal equivalent basis, it's almost a 20 million tonne negative impact on the market if you assume that's supplied with domestic met coal, and obviously, the aggregate seaborne numbers down about 15 million tonnes. So do you think that if you continue to see kind of holistically all those things continue to go against you in China that you can still be balanced? Or how should we think about that?
Donald R. Lindsay: So that's a very important question, one that I spend a lot of time on in visiting actual customers in China and the rest of it. But I am still going to turn it over to Réal Foley to start.
Réal Foley: All right. So Curt, I mean, you're right, steel exports from China this year are running at quite high level. However, what we're seeing in other markets as well is steel production is also up around the world. So that would indicate that demand is actually improving overall in the world. And the steelmakers in other market areas are still able to compete with the Chinese steel producers.
Donald R. Lindsay: Did that answer your question or was there another part to that?
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: No, that's helpful. And then just a question kind of also on the coke side. There's been some discussion of Japanese steel companies shutting down some coke capacity to import Chinese coke because it's -- are you guys seeing any signs of that occurring?
Réal Foley: So what is happening in Japan, Curt, and also in some other regions of the world, is the installed coke batteries are aging. And as a result, when they get to 40 years old or more, the production that is coming from those coke companies, those coke batteries is actually lower than they were originally designed for. And as a result, when steelmaking is running at a high level, they need to compensate their domestic coke production with imports, and a lot of imports are coming from China.
Operator: Our next question is from Mitesh Thakkar from FBR Capital Markets.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: My first question is on capital spending. The CapEx, which is deferred, I think, it's about $200-plus million. Should we just put it in 2015? Or would that push off some more CapEx from '15 to '16 as well? And on the maintenance CapEx side, is $400 million a good number for all your businesses going forward? Or are there any variances going forward such as selenium or replacement cycles of equipments that we need to be aware of?
Donald R. Lindsay: Okay. Ron Millos?
Ronald A. Millos: I'll take the first part of the question on that deferral. Yes, it will flow into next year. But then the spend, the actual incurred cost next year in Fort Hills, a good chunk of that will likely not get paid until 2016 and so on each year. So a good chunk of the Fort Hills, the total spend when the project is completed, you're going to end up having bills coming in, in late 2017 and sometime into 2018. So the key point is that, that deferral is just due to the timing of when we get the receipts or the invoices from the various suppliers. And as you can appreciate, with the number of subcontractors and 3,000 employees and time sheets, it takes time to accumulate the bills and get them ultimately to the Fort Hills project. So that's a deferral that likely will bounce around from each year and ultimately catch up after the project is completed.
Donald R. Lindsay: Yes. So for absolute clarity, the answer to your question is no. We do not put it in 2015.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Okay. And how about the second part, on the maintenance CapEx side?
Ronald A. Millos: Well, the maintenance CapEx side, we're our budgets right now. So haven't given any guidance for 2015 as yet. What I can tell you is that there's intense scrutiny on it. I've got some early numbers that are -- that I'm quite pleased with, so that would indicate that it's likely going to be less than what you're assuming. But we're not done yet, and we haven't published those numbers yet. So we'll have to just wait til they come out officially.
Operator: Our next question is from Orest Wowkodaw from Scotiabank.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: First question around the coal business. Very good cost here at $88 a tonne, excluding those inventory write-downs. My question is, are those sustainable? And if so, for how long? And then also you mentioned that all 6 of your mines were running in a cash margin positive position in the quarter. Just want to clarify if that includes sustaining capital and capitalized stripping.
Donald R. Lindsay: I'm going to turn over to Ian Kilgour. But the quick answer to your last question is yes. Now over to Ian.
Ian C. Kilgour: Thanks, Don. Yes, that's right. Those numbers include our sustained capital and capitalized stripping. In terms of moving forward, we are continuing to work on every aspect of the costs of the business, right of contractors' equipment efficiency, consumable costs and we expect to be able to keep making progress as we move into the next year. Right now we're going through detailed examination of our 2015 budget and our 5-year plans, and looking for every opportunity to improve it.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: Is there anything you're aware of that would make those costs increase in 2015 at this point?
Ian C. Kilgour: Nothing we're aware of right now. The one factor that has increased cost this year is fuel costs. But that appears to be mitigating at the moment. And hopefully, that will continue into next year.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: Okay. And a separate question, if I could, on the balance sheet for Ron. In terms of your investment grade debt metrics, obviously, we're starting to push some of those in terms of your long-term targets. Can you give us any color in terms of how far you think you can push those on a short-term basis before there could be some pushback from the rating agencies in terms of investment grade?
Ronald A. Millos: We think we've got a fair amount of cushion for investment grade. Clearly, in this low price environment, the rating agencies, depending on their views of what the future of coal price and near-term coal prices are, we've got a negative outlook from a number of the agencies right now, still BBB-mid. So in this environment, there will be some pressure for them to watch it closely, and we could see in a low price environment a potential knock down to BBB-low. But to think we're relatively safe from a noninvestment grade, but you never know what bothers the rating agencies at any point in time.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: Okay. In terms of debt-to-EBITDA, is there a level that you'd be comfortable taking the balance sheet to on a short-term basis before you would look at other vehicles to reduce the debt load?
Ronald A. Millos: Yes, our targets are well within the investment grade range. And certainly, we expect that at certain points in time that we're going to be bouncing up and down above the targets. But the agencies look at it on a 3-year average type thing. We've also said that on occasion, we will exceed our targets if -- for a short period of time if we see a way back to those targets within a year or 2. And the agencies are clearly aware of that. We discuss that with them on a regular basis. They're aware of all of our capital spending plans and our cash position, our liquidity position. So we can stretch it for a bit, but if you end up with 2 and 3 years where you're over their targets, that's when they start to think about whether they should change the rating or not.
Operator: Our next question is from David Charles from Dundee Capital Markets.
David Charles - Dundee Capital Markets Inc., Research Division: Just a quick question, going back to capital expenditures. Maybe I'll ask the question slightly differently than how it was posted before. How should we look at capital expenditures in 2015? Should we look at it simplistically that it's roughly $2.2 billion, that is similar to this year at $1.5 billion and spending on all the major projects and then add on another $700 million for capitalized stripping?
Ronald A. Millos: I'm afraid the answer is going to be a bit similar to the last one in that we haven't finished the budgeting exercise. I think you're definitely in range, David. We hope, obviously, to do better than that. We've just spent a fair bit of time focusing on sustaining capital on all the businesses. And as I said, it's been intense scrutiny, and I'm pleased with where we're ending up. But we can't give you a number on that yet. The deferred stripping order of magnitude, same as last year, as you mentioned. And the only major project going forward is Fort Hills. And we've talked about that earlier in this call that well, yes, we did incur -- we incurred expenses, we then laid out the cash for all the expenses but it would be about the same or within order of magnitude next year as this year. So when you add that up, actually it come to a bit less than what you just said, but we're not done yet. So I'm sorry that we can't be more detailed from that in the answer. But generally, I think you're in line.
David Charles - Dundee Capital Markets Inc., Research Division: No, that's fine. I just wanted to be sure that there was nothing other than the ones that we've seen so far that would come in next year that would change the numbers. So that's a good answer.
Operator: Our next question is from Lucas Pipes from Brean Capital.
Lucas Pipes - Brean Capital LLC, Research Division: Just to follow up on the cost side. In the release, there was a sentence about cost pressures will become more significant as mining progresses at each of our sites. And I was just wondering if you had any specific segment or operation in mind with that sentence. And then if you could maybe provide some quantitative parameters around that and maybe also some timing.
Donald R. Lindsay: I'll turn it over to Ian Kilgour.
Ian C. Kilgour: Yes, thanks. I guess the mining plants at each of our mining sites are constantly under scrutiny. As you develop an ore deposit, typically, you start in the best place, and as the mine plan progresses, you continue it. And in general, as we know from trends in the industry, head grades decrease in the copper industry, for example, and many things that you have to cope with. So I think that comment is really just reflecting the fact that we're required to take working on a mine plant to optimize them overtime.
Lucas Pipes - Brean Capital LLC, Research Division: And if there's a difference between those, the outlook for these various mines between copper, coal, zinc?
Ian C. Kilgour: No, I don't think there's any particular aspect that's outstandingly different between the different business units.
Lucas Pipes - Brean Capital LLC, Research Division: And then maybe a follow-up question for Réal. Réal, there's been a lot of talk about this Chinese import tax that was instigated. What is your opinion about that and how it could impact Teck Resources going forward?
Réal Foley: Thanks, Lucas. Well, so far, we've seen no impact from the 3% tariff on Steelmaking Coal. Our selling prices in China have remained pretty steady compared to where they were pre-tariff. This tariff became effective on October 15, and we understand that the domestic suppliers have actually increased their prices commensurate with the 3% tariff, as we kind of expected would happen.
Operator: Our next question is from Greg Barnes from TD Securities.
Greg Barnes - TD Securities Equity Research: Don, when I meet with investors, I'm repeatedly asked about Fort Hills and whether Teck would either sell their stake or dilute down. I know what my answer is, I'm just wondering what your response is to that question.
Donald R. Lindsay: No and no. Fort Hills is, in our view, looking better and better. We're particularly encouraged by the progress 1 year in. Suncor, in our view, is doing a good job. And as we've mentioned earlier on the call, it's on track, and all the major contracts are coming in within expectation. So -- and when we rerun the model, we've seen quite a contraction in the discounts for Western Canada select from as much as $40 2 years ago to $14 today. So that more than neutralizes the decline in WTI, and we'll run the numbers. Currently, would get a higher netback today than we did when we sanctioned the projects. So we're all systems go on that one, looking forward to having it as part of our portfolio. It will be the fourth leg, a very strong asset for 50 years and a good jurisdiction. We like it.
Greg Barnes - TD Securities Equity Research: Okay. And just a follow-on question, and this is probably for Ron. On the balance sheet, you got $807 million in investments and other stuff. I'm just wondering what that is.
Ronald A. Millos: John?
John F. Gingell: I'm just flipping pages here.
Donald R. Lindsay: Hang on a sec, we're just rounding up the details for you, Greg. If you have another question, maybe we'll follow up -- we can follow up with the answer on this one.
Greg Barnes - TD Securities Equity Research: I don't have another question.
Operator: Our next question is from Oscar Cabrera from Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Just this with regards to Fort Hills, with the increase in oil production in the U.S., are there any concerns with regards to the assumptions that I believe most of us are working with in regards to pipelines, spreads between oil prices or increase in logistic cost that could result in a reduction in margins?
Donald R. Lindsay: I'm going to turn that over to Ray. I will sort of preface his remarks by saying we are working on the marketing plan, we have some very encouraging results, but we won't be releasing our overall thing for quite some time yet. So until we finish, we don't want to sort of be giving it to piecemeal or things could be taken out of context. But Ray, how would you like to answer that?
Réal Foley: Yes. Thanks for the question, Oscar. So we are looking at our Fort Hills marketing logistics plan. Of course, we have to have that plan in place 3 years from now when we're projecting to have Fort Hills start up into production. So we do have some time to take a look at that. We are encouraged by the development in the market access space over the last while. We think there are improvements actually being made, particularly we're encouraged with lime line reversal coming along, TransCanada [indiscernible] quite good and [indiscernible] solution to [indiscernible]. And so those -- and those projects, especially [indiscernible] will be coming on at the time frame that we'll be looking for capacity. And the other thing that people here should remember is that the common carrier line from -- that Enbridge has from Hardisty into Superior is also going through maintenance and upgrades. And it's going to increase that capacity going forward as well. So when we take a look at the market and the time frame that we needed, we think that those logistic solutions are going to be there. And be there at a cost that is going to be effective for building our product to market.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Okay. So now I would look forward to seeing that. And then second question. Going back to your comment on the balance market for metallurgical coal in the second half of this year. Understand that your assumptions for demand is basically an increase year-over-year. With BHP Mitsubishi increasing their supply, how much cuts to supply do you expect from the rest of the market to be balanced in -- until the second half of next year?
Donald R. Lindsay: Réal?
Réal Foley: Thanks, Oscar. So overall, I mean, if we look at the demand side, crude steel production is continuing to increase at about 2% to 3% per year. That is the forecast. Year-to-date, September, it's running at about 2%. So you're right, demand continues to increase. On the supply side, our view is that there is an additional 10 to 15 million tonnes of production cuts that are required to bring the market back into balance. That's over and above the 25 that had been announced.
Oscar Cabrera - BofA Merrill Lynch, Research Division: 25 -- I'm sorry to -- this is very short. So 25 plus 10 to 15, how many of those have been actually implemented?
Réal Foley: Implemented to date to the end of Q3 out of the 25 is probably somewhere between 7 to 8 million tonnes in our estimate. The important point, Oscar, is that as the production cuts are announced, that capacity is removed from the market. So implementation is delayed. No doubt. And inventories need to work their way through the system as well.
Donald R. Lindsay: Operator, we'll follow-up with the answer to the previous question before we move on to the next speaker. Greg, it's -- basically -- the major items in there are basic or long-term receivables and various deposits that we have. Pension assets, they're about a couple hundred million, the previous one was a couple hundred million as well, our marketable securities and investments that have a maturity, short-term investments that have a majority of greater than 90 days. If you go to our annual report, is a note disclosure in there. It's the similar type item, and it's up about 50 million and order of magnitude there roughly the same percentages of items. Hopefully, that answers your questions, Greg.
Operator: Next question is from Ralph Profiti from Credit Suisse.
Ralph M. Profiti - Crédit Suisse AG, Research Division: Just a follow-up on your just given answer. Ron, is liquidation of any of these marketable securities behind the $1.8 billion -- $1.85 million in cash that you ended the quarter with and the $2 billion that you have currently or are we strictly talking cash flow from operations as the difference?
Ronald A. Millos: Cash flow. Sorry, I'm not sure I fully understood what the question was there, Ralph. Can you repeat it?
Ralph M. Profiti - Crédit Suisse AG, Research Division: Sure thing. Between the $1.85 billion at quarter end and the $2 billion that was cited in Don's statements as of October 28, is that strictly that rise attributable to cash flow from operations or are we seeing some of these working capital or marketable securities nonoperating being behind that increase?
Ronald A. Millos: It's mainly cash flow from operations.
Ralph M. Profiti - Crédit Suisse AG, Research Division: Okay. Great. And if you can just update me, with the new estimate on the pace of Fort Hills spending, where do we stand on the earn-in?
Ronald A. Millos: We would expect probably somewhere around the end of the first quarter. So March-April, we would move from the 27.5% contribution down to the 20% contribution.
Operator: The next question is from Alec Kodatsky from CIBC.
Alec Kodatsky - CIBC World Markets Inc., Research Division: I guess a question for Réal. But curious to see if you're getting any difference with behavior on the buyers side. Are you selling incremental quantities on contract than what you were and -- or are people still actively looking in the spot market? Or have you started to see more people trying to source material under longer-term agreements?
Réal Foley: All right. Thanks, Alec. I guess over the past 3-plus years, the spot market price has been below the quarterly benchmark. And that has driven more tonnes to be priced on shorter than quarterly basis in the market and actually our sales profile reflects that. Now at the same time, as we say this, we're seeing good performance from customers, whether they're quarterly priced customers or shorter term priced customers. We have a number of agreements in place, long-term agreements in place with the majority of our customers that give us some certainty on volume. And in terms of split, like if you look at the ratio of our sales on shorter than the quarter, we're probably still selling about 50% or so for 2014 at quarterly price. And that's up from around 40% in 2013 and was around 20% in 2012, and prior to 2012, it was 15% to 25%. Does that answer your question?
Alec Kodatsky - CIBC World Markets Inc., Research Division: Yes, that's great as far as -- yes -- I mean it does in terms of a long-term trend. But I'm just trying to gauge with, I guess, the question may be asked this way. With the production cuts that have been announced and sort of, I guess, the presumption that material would be less available in 4 to 6 months time, are you starting to get any indications from the steelmakers that they may be concerned about getting their hands on material? Or are we not at that point yet?
Réal Foley: Well, we're starting to get anecdotal comments from customers who were buying larger quantity from U.S. We've actually seen changes in our sales distribution if we look at 2014. There was quite a bit of US coal that going into Asia for the past how many years or so. And that has been reduced as a result of prices being at very low levels right now. We're also seeing additional demand coming from markets on the Atlantic side as a result of some of those cuts as well.
Operator: Our next question is from Paretosh Misra from Morgan Stanley.
Paretosh Misra - Morgan Stanley, Research Division: I was wondering if you could share your thoughts on the iron ore market. Do you see any opportunity for Teck at these prices in valuation?
Ronald A. Millos: No, we spent a fair bit of time looking at the iron ore market. While we have looked at it over many years, we've reviewed different opportunities. We were never able to find an opportunity that met our value criteria. And that would still be the case.
Operator: Our next question is from Harry Mateer from Barclays.
Harry Mateer - Barclays Capital, Research Division: Ron, first question. What cash balance should we be comfortable going down to before you would start wanting to use your credit facility or term debt to finance spending? And if you're still in a negative free cash position next year, would your expectation be to pay down the $300 million maturity with your credit line or instead to refi that with term debt?
Ronald A. Millos: I guess we think we could squeeze the cash balance down to sort of in $300 million to $400 million range. And we talked in the past that we thought it would be $500 million. But we've sort of had a good hard look at that and could move it down. As far as using the line of credit or refinancing that $300 million, both options are open to us, and I think we'll just have to take a look to what circumstances are at that time.
Harry Mateer - Barclays Capital, Research Division: Okay. And then just as a follow-up. You don't seem particularly worried about investment grade ratings given where your metrics currently stand in your outlook, but you did acknowledge some risk to the current mid-BBB ratings. So should we take that to mean you're not going to look to try and defend the current ratings with whatever actions might be at your disposal? And then the true commitment is just to investment grade overall?
Ronald A. Millos: We certainly would like to maintain that mid rating because of the cushion it provides. But there's a lot of things that are beyond our control on that one. And depending on where commodity prices go, we'll just have to wait and see on that. But certainly, it's a preferred position, but definitely, we want to maintain the investment grade for sure.
Operator: We have no further questions at this time.
Donald R. Lindsay: Okay. Well, then, maybe I'll wrap up with a couple of comments. And one is that Teck is in very strong condition. The operations are running very well, the balance sheet is very strong, the debt has trimmed out as far as 2042 , I think. And I point out that 6 months ago, people were forecasting that our cash balance will get down to sort of $1.2 billion or so on. Here we are at a little over $2 billion today. And while it will go down by year-end somewhat, but we're starting next year, 2015, in very strong position. And we're taking the actions with the operations to ensure that we stay that way. And that means that we'll go through 2015 with a pretty good position. The next thing you know, you're halfway through Fort Hills already, and looking towards the end of it. So -- and during that time, the odds of commodity prices changing are pretty high. And whether that's in zinc or whether that's in coal, we'll have to see. So Teck is in very strong condition, and I want to emphasize that. Secondly, just a comment on commodity markets in general. And this could be coal, we had a lot of question on it today, but this could be zinc, this could be copper. And generally, how it works, a lot of people follow the industry may not realize this or may have started following the industry more recently, but when a commodity is in surplus, the prices tend to fall to somewhere around the 90 percentile in the cost curve. And if it's in a big surplus, it can fall through a period of time even lower to the 70%. And then inevitably, what happens is a lot of people shut down because they're losing cash. If the commodity is in deficit, and it doesn't have to be a very big deficit, then you tend to get pretty healthy margin, sometimes 100% or better. And if it gets to be a little bit more significant deficit, you do even better. That has always been the case. Some people, even in the industry, may not understand that, but that's generally where it occurs. As an example, in coal, because I know there's a lot of questions about that, but if you went back in history to when the first floods occurred in Queensland, there are a lot of estimates on how much coal production was lost, and no one knew at the time because it took a while for the place to dry out. But in the end, I think the calculations, and this is one estimate people grew about Teck, was only about 11 million tonnes of production was actually lost, and it drove the price up to $300. So I think Réal's comments about how the fuel industry continues to grow, and that requires a bit more coal each year. Ultimately, as production is shutting down from the announced shutdowns and demand overall worldwide continues to increase, you'll get to a spot where balance is close to, and then achieved and then it goes into deficit again. And we see that coming in the ensuing years. Customers will see that, and they'll move to secure their supply and prices will move up, as they always have in the past. The industry is cyclical, it always has been and always will be, and we're looking forward to the cycle turn. And don't be surprised when it does. Again, those comments could apply to zinc or to copper or to coal or oil for that matter, any other commodity. With that, we thank you for your questions. We look forward to the next quarterly call in February. Thank you, operator.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. And we thank all who participated.